Operator: Ladies and gentlemen, thank you for standing by. Welcome to the FIS First Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session instructions will be given at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to our host. Ms Mary Waggoner, please go ahead.
Mary K. Waggoner - Senior Vice President, Investor Relations: Thank you and good afternoon. Joining me today to review our first quarter results are Bill Foley, Executive Chairman; Lee Kennedy, President and Chief Executive Officer and Jeff Carbiener, Chief Financial Officer. In addition to being recorded, this call is being audio cast live over the internet. Telephone replay information is included in today's press release and a replay will be also be available on our website. Today's discussion will contain references to non-GAAP and pro forma results in order to provide more meaningful comparisons between the period presented. Reconciliations between GAAP and non-GAAP results and schedules showing historical detail are provided in today's press release, which is also available on our website. We have included a power point presentation to supplement today's review of our first quarter results. The slides which are posted on our website are available in both HTML and PDF format. Before we continue, I would like to remind you that some of the comments made on today's call will contain forward-looking statements. These statements are subject to the risks and uncertainties described in our earnings release and other filings with the SEC. The company expressly disclaims any duty to update or revise these forward-looking statements including quarterly and annual guidance. Now, I will turn the call over to our Executive Chairman, Bill Foley.
William P. Foley, II - Executive Chairman: Thanks, Mary. Good afternoon everyone and thank you for joining us today. FIS generated solid organic revenue growth of 7.3% in the quarter, driven by a powerful 12.6% growth in the Lender Processing Services division. Consolidated earnings came in at the lower end of our guidance range, primarily due to lower than expected high margin software licenses and professional services revenue. March was a difficult month for the financial markets and towards the end of the month, some large banks delayed technology purchases. We also noticed some softening and consumer spending in our payments businesses. In light of these factors and the ongoing uncertainty regarding the near term economic conditions, our management team took immediate actions to offset any potential negative impact on 2008 earnings. While we are taking a slightly more cautious view towards revenue growth in 2008, our full year earnings guidance remains intact. Lee and Jeff will provide additional details regarding our first quarter performance and outlook for the remainder of 2008 later in the call. I am pleased to announce that on April 17 our Board of Directors authorized the repurchase of up to 250 million of FIS common stock. This translates into approximately 6.5 million shares at the current market price, which we think represents a great value. The new authority replaces the previous authorization of which approximately 117 million was outstanding. Next, I will provide an update on the strategic initiatives including the sale of non-strategic assets and conclude with the current statuses of the spin-off of LPS. During the quarter, FIS completed the sale of two non-strategic businesses, FIS Credit Services and Certegy Gaming Services. We also completed plans for the wind down of HFM, which is a small, unprofitable origination and fulfillment business serving residential home builders. The sale of these assets will improve our growth rates, free up capital and enable management to better focus on core operations. During the quarter we made significant progress towards completing the spin-off of LPS. We remain on schedule to launch LPS as an independent publicly traded company by the end of June. We filed the preliminary Form 10 on March 27 and we expect to file an amended version within the next few weeks. On April 14 we received a formal private letter ruling from the Internal Revenue Service approving the tax redistribution of LPS and we are working with our primary lenders to finalize the capital structure of FIS and LPS. We remain very excited about the future of FIS and LPS as separate public entities. The two companies have excellent management teams with proven track records and both have built strong competitive positions. We look forward to seeing you at our upcoming Investor Day, which is scheduled for Wednesday, May 28 in Jacksonville, Florida. Now, I will turn the call over to Lee who will review our first quarter and full year results. Lee?
Lee A. Kennedy - President and Chief Executive Officer: Thanks, Bill. Good afternoon everyone and thanks for joining us today. I'll begin today's call with a review of first quarter results, including an update on key business initiatives. Jeff will follow with the detailed financial report and our outlook for the remainder of 2008. First quarter consolidated revenue increased 20.5% over prior year excluding the eFunds; revenue increased 7.3%, driven by 12.6% growth in Lender Processing Services and 4.5% growth in Transaction Processing Services. EBITDA increased 14.8% and the EBITDA margin was 24.2%, compared to 25.4% in the prior year quarter. Adjusted net earnings came in at $0.57 per diluted share. Although we were pleased with first quarter revenue growth, a challenging economic environment drilled first quarter earnings to the lower end of our guidance range. Earnings were impacted by a lower mix of high margin license and professional service revenue. During the fourth quarter earnings call, we discussed our outlook for 2008 bank technology spending. We indicated that the majority of the services that we provide to financial institutions are not discretionary and historically have not been influenced by the weak to serve [ph] an economy. In general, our view of this has not changed. Banks continue to invest in the maintenance and development of core processing and support systems and continue to move forward with new systems implementations and scheduled conversions. However late in the first quarter, certain high margin technology service purchases by a limited number of large banks were delayed, which impacted revenue and segment margins. In addition, some of our lot -- payment service business were also marginally impacted by the slowdown in consumer spending which occurred in March. It is too early to determine whether these recent trends will remain isolated to the first quarter or whether they will continue throughout the remainder of the year. In order to make sure that we achieve the earnings guidance communicated in our fourth quarter call, we started to act aggressively as if these trends would continue to impact our business throughout the remainder of 2008. Much of this decision was based on the current and anticipated weakness in the financial services sector and input from our key customers. The cost reduction initiatives include the elimination of several hundred full time positions and the restructuring and consolidation of technology, back office and sales operations worldwide. These actions should generate over $30 million in end year savings which will enable us to meet our original EPS guidance range of $2.73 to $2.83 in spite of taking a slightly more cautious view of 2008's revenue growth. I want to emphasize that even with the short term market challenges that we are facing. Our 2008 revenue on earnings outlook remains solid. We continue to successfully execute on our business plans and are making good progress in completing the strategic development initiatives and new customer implementations covered in our fourth quarter earnings call. Although the sales cycle has marginally increased in some of our businesses, we remain encouraged with the quality and quantity of our sales pipelines. Now I will cover the business segments, starting with Transaction Processing Services first. TPS revenue increased 26.1% compared to prior year. EBITDA increased 22.3% and the margin was 23.6%. Excluding eFunds, revenue increased 4.5%, while overall revenue growth was in line with our expectations. The margined segment was negatively impacted by a change in revenue mix, as well as lower margins in our risk management check business. International revenue increased 17.1%, driven by solid growth in our Brazilian and Australian card and European core banking businesses. In Brazil, which is one of our fastest growing markets, we completed a conversion of ABN's 5 million card account portfolio to our BASE2000 processing platform. The conversion was completed in late March with a high degree of quality and the feedback from the bank has been very positive. The conversion of ABN AMRO Banco Real was closely watched by other Brazilian card issuers. And we remain optimistic that we will secure additional Brazilian card processing customers in the future. Podesta [ph] remains on schedule to convert this in sourced 10 million account, card portfolio in late 2008. We are also pleased with the continued strong demand for our payment and risk management products including royalty, prepaid card, eBanking, bill payment and risk management services. During the quarter, we finalized a new internet banking and bill payment agreement with Provident Bank of New Jersey. As previously discussed, one of our primary objectives this year is to more effectively sell our payment service products into the mid and upper tier markets. This highly competitive win is an important first step in achieving this objective. During the quarter we also signed a new TouchPoint agreement with First Commonwealth Bank. We continue to make good progress with the integration of e-Funds and we are on target to achieve $35 million in cost savings in 2008 and at least $65 million by the end of 2009. Overall, we are pleased with the progress that we're making in TPS, especially when taking into consideration the extraordinary challenges that financial institutions are facing today. I'll now cover Lender Processing Services. LPS continues to generate outstanding growth in a very difficult environment. First quarter revenue increased 12.6% over prior year, driven by strong growth and appraisal, default services and work flow automation technologies. LPS EBITDA increased 12% over prior year and the EBITDA margin remained steady at 32%. March was another record month for default services, driven by excellent growth in foreclosure activity. Although origination and refinancing activity had moderated somewhat from higher January and fairly February levels overall tidal and settlement services revenue decline less than 2% versus prior year, compared to 9.7% decline in the overall market. We continue to win market share across all product lines. We are particularly pleased with the progress that we're making in our Flood Certification business. During the quarter, we became the nation's leading provider of Flood Certification services. Demonstrating the power of our integrated processing and product platforms, which has generated a strong competitive advantage. Our appraisal business also produced excellent results driven by higher refinance activity and strong market share gains. Although the outcome of recently proposed regulatory changes affecting appraisal providers continues to remain uncertain we are encouraged by the recent public positions taken by the Controller of the Currency and the Office of Strict Supervision, which we believe supports the continuation of bank and third party appraisal providers such as FIS. We are fully aware that many of you have voiced concern over the uncertainty surrounding our appraisal business. I want you to know that although we do not believe that our current operation will have to change. If this is not the case, we have identified several alternatives that will preserve FIS shareholder interest and value. As we discussed in previous calls, the challenges in the mortgage industry continue to drive significant opportunities for LPS. We remain on track to convert Chase's sub-prime mortgage portfolio in the second quarter. Chase's prime portfolio and Wachovia's home equity portfolio remain on schedule to convert in 2009. Before I turn the call over to Jeff, I want to emphasize that our 2008 revenue in earnings outlook remain solid. Although we have slightly modified the low end of our revenue outlook to compensate for the increased risk of continued economic weakness. We are maintaining our original EPS guidance. We now expect 2008 revenue growth of approximately 13 to 16% and 5 to 8% excluding eFunds. Overall, we are pleased with the progress that we are making in each of our businesses and in the strong competitive positions we have built. We look forward to seeing you at our upcoming Investor Day. I'll now turn the call over to Jeff, who will provide a more detailed financial review of first quarter results and our outlook and guidance for 2008. Jeff?
Jeffrey S. Carbiener - Executive Vice President and Chief Financial Officer: Thanks, Lee and good afternoon. Before I get into the discussion and analysis of the results, I'd like to take a moment to walk you through some of the changes we have made in our earnings release and related exhibits. As you'll notice we've moved all the quantitative details into the exhibits for the company, the earnings release and provided more historical information to the particular analysis. Exhibit A is the usual consolidated income statement, exhibit B and C which are new include balance sheet and cash flow statements. Exhibit D includes supplemental financial information with current and trailing four quarters for revenue with or without eFunds, depreciation and amortization, capital expenditures, long term debt and stock compensation expense. Exhibit E provides non-GAAP financial information along with the financial bridges back to GAAP results for EBITDA, net earnings and free cash flow. And exhibit F which includes segment level financial details. We have also added slides that I will refer to as I go through my comments. These slides have been posted to our website for easy reference. We hope this expanded disclosure and new format in presentation helps with not only understanding FIS story better, but more easily. Moving on to the results. For comparative purposes, Property Insight which was sold in the third quarter of 2007 and three business lines sold or discontinued during the current quarter, Credit, Game Cash and Home Financial Network or HFN are now all reported as discontinued operations. As you can see on the revenue slide on page 4, first quarter 2008 consolidated revenue increased 20.5% compared to the prior year quarter. eFunds revenue of approximately 141 million were in line with our expectations and drove 13.2% of total revenue growth in the quarter. Excluding eFunds from consolidated and segment revenue, overall first quarter revenue increased 7.3% to 1.15 billion driven by 4.5% growth in TPS and a strong 12.6% growth in LPS. The 4.5% increase in TPS' first quarter revenue to 685 million was driven by 17% growth in International and 4.9% growth in Integrated Financial Solutions or IFS, partially offset by a 3.4% decline in Enterprise Solutions or EBF. For the first quarter, the 17% increase in international revenue to 161.7 million was fuelled by strong growth in our payment services businesses, particularly our card operation in Brazil and increased revenues in our European card -- core banking operation. Payment services of revenues now represent approximately 56% of total international revenue. The 4.9% in IFS first quarter revenue to 297.6 million was driven by solid growth in our eBusiness and core banking product line. These gains more than offset the impact on non recurring items in the first quarter of 2007 associated with higher termination fees and revenues from a special card re-issuance project. EBS [ph] revenue of 226.6 million decreased by 3.4% compared to the first quarter of 2007, as current quarter of new sales activity was more than offset by a $6 million license fee recognized in the first quarter of 2007 and lower retail volumes in our check risk management services business. Excluding check services, which remains under strategic review, first quarter EBS revenue increased approximately 1.5%. As we have noted in previous discussions we expect more difficult year-over-year comparisons for EBS in the first half of this year. Lender Processing revenue increased 12.6% to 464.1 million driven by 18.3% growth in information services partially offset by 7.4% decline in Mortgage processing revenues. Information Services growth of 18.3% of 380 million was driven by strong demand for appraisal and default services, which once again more than offset the declines in origination oriented products such as tax, FIN 31 exchange and title enclosing services. Market share gains and the ongoing trend to outsource generated 19% increase in traditional appraisal services while a combination of new customer signings continued high level of foreclosure activity and strong demand for our workflow automation services drove an increase of more than 71% in the default and related technology services. We continue to benefit from the significant volume increases in foreclosure activity where we currently have more than 40% market share, as well as increasing demand for backend REO asset management services where we can historically have low penetration. Based on our current projections, demand for our outsourced default services is expected to remain robust for the foreseeable future. Mortgage processing revenues of 84.3 million, decreased 7.4% compared to the first quarter of 2007. The average number of loans processed declined to 27 million compared to 28.2 million in the prior year quarter. As we discussed on the fourth quarter call, the decline was primarily driven by Citibank's conversion of ABN's 1.5 million loan portfolio in the fourth quarter of 2007. Also, we generated small percentage of revenue from software and related services sales, which were down year-over-year and represent additional example of the slowing high margin technology purchases that Lee discussed earlier. Although we expect mortgage processing revenues to decline modestly in 2008, market share gains by existing processing customers of strong pipeline of home equity loan prospects and the conversion of 6 million loans for Chase and Wachovia are expected to drive strong growth in the number of average loans processed in 2009 and beyond. Also, it is important to note that much of the growth in our Information Services businesses continues to be driven by the strong mortgage processing relationships we have with most of the nation's top lenders. Moving on to the EBITDA slide on page 5. Overall, EBITDA increased 14.8% to 312.3 million and the margin was 24.2% compared to 25.4% in the prior year quarter. The decline was due to lower margins and TPS and higher corporate expenses. Transaction Processing EBITDA increased 22.3% to 195.5 million and the EBITDA margin was 23.6% compared to 24.4% in the first quarter of 2007. Margins were lower in the current quarter, primarily due to a greater mix of high margin revenues in the prior year quarter such as the licenses noted earlier and the Banc of America TouchPoint implementation revenues. Additionally, lower retail volumes in our check services business impacted TPS margins by approximately 20 basis points. Lender Processing EBITDA of 148.3 million increased 12% compared to the first quarter of 2007 and the EBITDA margin was 32%, essentially flat compared to the prior year quarter. Strong revenue growth and margin expansion in default, somewhat offset by lower margins in appraisal and other origination related services helped keep the robust margins steady year-over-year. Corporate expense, net one time adjustments totaled 35.3 million compared to 29.5 million in the first quarter of 2007. The increase was primarily due to the higher stock compensation expense that was discussed on the last call and eFunds corporate expense. Depreciation and amortization for the first quarter came in at 122.7 million and was in line with our expectations. It was down compared to the fourth quarter of 2007, primarily due to lower purchase amortization on acquired customer contracts and lower amortization on acquired software. We expect depreciation and amortization to ramp up beginning in the second quarter due to the impact of customer convergence on Brazilian card JV. As you know, investments in the Brazilian card JV have been one of the major drivers of capital expenditures over the last few years. And we will begin amortizing those investments as ABN AMRO went operational in April. Given the tough market conditions, we plan to focus on efficiency and greater expense control in order to reach our target margins for full year 2008. Now onto adjusted net earnings, which we previously referred to as cash earnings and the slide on page 6. Overall first quarter adjusted net earnings defined as adjusted net income plus after tax purchase amortization totaled 111.3 million or $0.57 per diluted share, compared to $0.54 in the prior year. During the quarter we incurred after tax merger and integration costs of 11.3 million driven primarily by the acceleration of eFunds stock options. First quarter 2008 after tax purchased amortization of 29.5 million compared to 25.6 million in the prior year quarter driven primarily by the acquisition of eFunds. Additionally, the businesses that were sold or discontinued during the quarter are expected to have a neutral impact on adjusted net earnings and EPS going forward. Also as you can see on the slide on page 7, the gross proceeds from these businesses were 31 million excluding operating cash resulting in a nominal gain when netted against the small impairment loss on our equity investment in Sineros [ph] Moving on to the free cash flow slide on page 8. Free cash flow, which we now define as operating cash flow minus capital expenditures was 78.6 million for the first quarter. Capital expenditures totaled 89.6 million and included additional investments in Brazil for the conversion of the card portfolio and for equipments to drive increased efficiency in our item processing operations. First quarter capital expenditures were in line with our expectations and we expect much lower levels in the second half of the year, as our Brazilian investments ramp down. As shown on the slide, excluding the 48.6 million an after tax merger, acquisition and integration cost and the settlement of the acquisition related liability net free cash flow was a 127.2 million for the quarter. Uses of free cash flow during the quarter included 9.7 million in shareholder dividends and net GAAP repayment of 98 million. At the end of the first quarter, we had approximately 328 million in cash and 4.2 billion in outstanding debt. Currently, 3.2 billion of our debt is covered by swaps carrying an average life fixed LIBOR rate of 4.5% plus spreads ranging from 100 to 175 basis points. The weighted average effective rate on the outstanding debt at quarter end was 5.8% including amortization of upfront debt cost. Now, I'd like to review our outlook for full year 2008 starting with revenues. As you can see on the guidance slide on page 9, based on current trends we are widening our full year revenue guidance to 13 to 16% or 5 to 8% excluding eFunds. This guidance assumes that TPS revenues excluding eFunds will grow 4 to 6% for full year 2008. This is down 2% from prior guidance to reflect the increased risk of continued economic weakness that Lee described. Full year LPS growth will remain at the high end of the 6 to 8% range previously disclosed. Note that this lower than the current run rate due to the anualization of certain large appraisal contracts and known volume declines at customer such as Lawman. Moving on to adjusted earnings. As noted earlier, we have taken specific cost reduction actions which we expect will contribute 30 million in saving and will enable us to meet our adjusted earnings guidance of $2.73 to $2.83 per diluted share. This represents an increase of 12 to 16% compared to 2007. For free cash flow we are projecting a range of 555 to 620 million in 2008 based on the current earnings guidance estimated capital expenditures of 280 to 300 million which is more heavily weighted towards the first half of the year. Working capital and other adjustments to reconcile net earnings to net cash of 75 to 100 million and total depreciation and amortization of approximately 530 million, which as I noted earlier is expect to ramp up beginning in the second quarter due to the Brazilian card implementations going live in April and in the fourth quarter. Also as noted on the last call, we expect approximately 35 million in cost synergies from the eFunds integration in 2008, the primary contributors of which are the consolidation of corporate functions, business unit integration and technology infrastructure savings. Finally our guidance excludes 25 million of estimated non-recurring integration cost associated with eFunds acquisition of which 14 million were incurred in first quarter 2008 and approximately 25 million in one time integration capital, which has not yet been spent. Also, 15 to 20 million in pre-tax restructuring charges associated with the cost reduction initiatives, Lee discussed earlier. And finally, and any one time cost related to the LPS spend and any incremental operating cost associated with operating LPS as a standalone company for which we'll provide additional details at our Investor Day scheduled for Wednesday, May 28 in Jacksonville. Now I'll turn the call back to Mary.
Mary K. Waggoner - Senior Vice President, Investor Relations: Operator, we are now ready to take questions. Question And Answer
Operator: All right, thank you. [Operator Instructions]. And first we will go to the line of Bryan Keane with Credit Suisse. Please go ahead.
Bryan Keane - Credit Suisse: Yeah, hi. I guess I'm just curious about the consumer spending in the payments business that slowed. I guess what exactly you guys referring to there?
Unidentified Company Representative: We're talking about average usage on the card side of our business or the number of times that a consumer uses their credit card that was slightly off from recent trends. So that affected it somewhat. And also on the payment side of the business, number of items processed through our payment and check processing shops tailed off somewhat also during the quarter.
Bryan Keane - Credit Suisse: Okay, no change in bill payment volumes?
Unidentified Company Representative: Yeah, bill payment was pretty strong. bill payment historically doesn't vary that much and we haven't seen a lot of variation in that business. Its growing very rapidly but on a per account basis, per consumer usage basis, not a lot a variation.
Bryan Keane - Credit Suisse: Okay. And when you guys talk about the South Point License sales and professional service revenues being part of the reason for the little bit light on the revenue. Do you want [ph] to quantify how big that is on both the software and the professional services side?
Unidentified Company Representative: It involved a small number of institutions where we had planned to bring in contracts store in the quarter. They were well advanced contracts. They've been not eliminated, they just been pushed back. But I think you should look at it in terms of a few handful of institutions that tell them to that category. On the software side really split between our core EBS business and also our Commercial Lending Business where typically we pick up contracts on the lending side that are software based.
Bryan Keane - Credit Suisse: And did the decisions remain delayed or did they start to close in April?
Unidentified Company Representative: Some of them are gaining momentum, but I think it's too early to tell. I think at this point in time we are cautious. We wanted to make sure that we wait until we understood exactly what the trend was and what it was going to hold. So there is a little bit of uptick but not enough to make us feel comfortable that the concern is going away.
Bryan Keane - Credit Suisse: Just last question, the guidance the 273 to 3 is to be [ph] is that using I just want to be clear 56 or $0.57 in 1Q? And any guidance on 2Q EPS?
Unidentified Company Representative: In fact we're using the $0.57 that we just disclosed for Q1. At that point we're not planning on providing specific quarterly guidance for Q2 or forward?
Unidentified Company Representative: But it takes into account the $0.01 short fall to consensus in Q1.
Bryan Keane - Credit Suisse: Okay, thank you very much.
Unidentified Company Representative: You're welcome.
Operator: Thank you and next we'll go to the line of Greg Smith with Merrill Lynch. Please go ahead
Gregory Smith - Merrill Lynch: Yeah. Hi, guys. You mentioned on the appraisal business you have some potential alternatives are you prepared to discuss any of those in more detail?
Unidentified Company Representative: Greg, I think I can say this. I can say worse comes to worse we can always keep that business at FIS because FIS does not have, will not have settlement services. So, long story short to our shareholders there is couple of different alternatives that we are -- that we have investigated very thoroughly. We think we are going to be able to protect that business in way or another. However, as we stated in the call, we don't believe we're going to having problem with that business to begin with. We think we are going to be able to continue to offer that service and it's a valuable service to the marketplace and there are more and more organizations throughout the country coming forth saying that it would not be the right decision to exclude certain third parties and even some banks from providing that service. So we'll how it shapes out.
Gregory Smith - Merrill Lynch: Yeah. And then if it does turn out that way, it could be an incremental positive above and beyond where the business stands today. Is that found?
Unidentified Company Representative: Yeah I will tell you this that one way or the other we are going to see some real uptick in that business. We've got a great product capability. The pricing is far more leveraged and better than what an institution can provide internally. So we see that as a real clear upside.
Unidentified Company Representative: That's right.
Gregory Smith - Merrill Lynch: And then can you give us any update on what may happen with Banc of America and Countrywide merging and how that might affect LPS?
Unidentified Company Representative: That one Greg it's still too early to really say anything different than what we've already said we still feel pretty positive about securing additional business from BOA. We think we have a cost advantage on the processing side that we'll see how they rate it and how they view it. But even if it goes the other way, there is a lot of additional business that we have currently with Countrywide that we don't have with BOA or the other way around that we believe are going to be able to pick up. So we think we're pretty much protected on that account.
Unidentified Company Representative: I think that's a good way to look at it the fact is that both BOA and Countrywide are top five customers within our LPS businesses and we have good park card [ph] penetration in the each. So we see it as being an upside regardless of which direction the market.
Unidentified Company Representative: The other way Greg. I think we are pretty well protected.
Gregory Smith - Merrill Lynch: All right. And then just lastly, last quarter you kind of gave a preliminary look into 2009 given your visibility in specific conversions that was scheduled. I mean other than the economic environment and some of the impact you have highlighted any reason to back away from any of those comments about or not?
Unidentified Company Representative: No that's a conversions at this point in time are still on schedule to happen and number of them in early part of 2009. And then obviously we are going to get the benefit of converting Bradesco and later on this year we will have that account for the full year of 2009. So 2009 still looks very positive. We think -- we feel pretty good about it.
Gregory Smith - Merrill Lynch: That's great. Thanks a lot guys.
Unidentified Company Representative: Welcome.
Operator: Thank you. Next we'll go to the line of Julio Quinteros with Goldman Sachs. Please go ahead.
Julio Quinteros - Goldman Sachs: Hi, I know that the question was asked but I don't think I actually heard you size the software and professional services exposure in both the TPS and the lending processing business. Can you actually provide us a range still size in terms of exposure for both of those pieces?
Unidentified Company Representative: Yeah. I think you should look somewhere in the neighborhood of 10 to $15 million. Somewhere in that range.
Julio Quinteros - Goldman Sachs: For each segment?
Unidentified Company Representative: No that's for the overall business.
Unidentified Company Representative: And the 15 total.
Julio Quinteros - Goldman Sachs: Okay. And then going back to the improvement or the visibility just in terms of when we should expect it to improve may be if you could just talk about trends for the month of April over the month of March at this point and either the TPS or the LPS side?
Unidentified Company Representative: It's still too early to really to pinpoint that we have seen some indication of a little bit of change and may be a little bit of improvement on the TPS side but still too early. So I don't want to get too far ahead of ourselves until we actually get the record counts and whatever the case very stable on the LPS side. The trends that you've seen throughout the last couple of quarters where we're gaining additional market share and momentum in that business continue from what we've seen so far. In the TPS side looks throughout the way and so we get the books close and see more trends.
Unidentified Company Representative: Yeah. The one thing I'd caution on the LPS side as I mentioned in my comments a few minutes ago. We will have the main utilization [ph] in Q2 of comparatively large contracts. We signed a extended or expanded I should say a fairly large appraisal contract in Q2 of last year. So we'll start to see the impact of that as well as some of the ramp-downs ion volumes whether from the moves with a [indiscernible] and shutting down their wholesale business.
Julio Quinteros - Goldman Sachs: Okay. And then can you give us an update on any progress or what the status, current status is of any upwards towards the cross selling of the eFunds platform?
Unidentified Company Representative: We are actually making good progress and I'm certain the risk management products we've been able to sell those effectively into some of our customer base. We've been able to take some of the debit card products that they currently have in capabilities and sell them into our credit union and community bank base. On the prepaid card side that platform will become the benchmark and the operating system that we will use for our card processing business, which as we talked in the past that's currently outsourced to a third party so, so far the momentum that what we picked up is pretty strong. We have also in addition to that we had some professional service potential by using some of the outsourced capabilities in offshore resources that we purchased refunds for some of our core customers. So we're making progress there too.
Unidentified Company Representative: Yeah I think we were actually pleasantly surprised in Q1 that the eFunds revenue stream if you compared them to all this published. The publish rebuilds for last year we had about 5.3% growth on those product line, probably the strongest area as we said of the two strongest area is where in the payments business at about 5 and I think we're in double-digit from the risk management side. So you get solid performance.
Unidentified Company Representative: We were kind of pleasantly surprise with that because we had factored in little bit attrition on the front end. We identified the accounts that were at risk and a 5% growth really was so much stronger than what we projected and it came across the board from all areas particularly the risk management side of the business.
Julio Quinteros - Goldman Sachs: Okay. And then lastly can you just comment on MasterCard IPS platform? Any potential competition or risk from that?
Unidentified Company Representative: Its something that we we've competed with the card associations for the last 20 years. We have competed with visa and their debit card platform for the last six or seven years. Their tough competitors but we've held our own. We haven't suffered any major loses. We've kept our customers onboard so although we respect MasterCard and their new technology that they are going to bring out and their capabilities. It's certainly something that we had not that we faced in the past and we've done very well against our the other peers. But we think we are going to be in a good shape with that. To of our smaller institution and some of the other customers that we actually process for, it is also important for them to have a full range of services and multi product capability. So that factors into it also.
Julio Quinteros - Goldman Sachs: Thanks.
Unidentified Company Representative: Welcome.
Operator: All right, thank you. And next we'll go to the line of Jim Kissane with Bear Stearns. Please go ahead.
Jim Kissane - Bear Stearns: Thanks. It's a quick question of the mortgage crossing margin side. Jeff in terms of how they are holding up given some of the pressure on the revenues.
Unidentified Company Representative: You know actually the mortgage processing revenues expanded over prior year by 17% margin. I am sorry the margins.
Unidentified Company Representative: Margins expanded by about 70 basis points over prior year. Even with the lower revenue. So we are holding our margins very well.
Jim Kissane - Bear Stearns: And just to confirm the 15 to $20 million charge in the second quarter of this year that's incremental and that's pretty much in reaction to the softer revenue.
Unidentified Company Representative: Right that's in conjunction with the cost production initiatives that Lee talked about that are going to drive this by $30 million in expense, that's a headcount reduction and some or the other charges we are taken associate with that Jim.
Jim Kissane - Bear Stearns: And that will drive $30 million this year of savings?
Unidentified Company Representative: That will drive 30 million of in year savings this year?
Jim Kissane - Bear Stearns: And how about for '09?
Unidentified Company Representative: Look at being an annualized number of around $50 million.
Unidentified Company Representative: It will upfront $50 million.
Jim Kissane - Bear Stearns: Okay and deferred cost and capitalized software spiked up year-to-year what's driving the increase there?
Unidentified Company Representative: On the capitalized contract costs the main thing is Brazil is driving that up as we finish off the ABN conversion and then in start in the more depth in the Bradesco program if we get that worked on.
Jim Kissane - Bear Stearns: That's both the capitalized software and deferred contract costs?
Unidentified Company Representative: That's actually the capitalized software on the deferred contract cost we have a number of initiatives that have been underway. We talked about the National Australia Group, internet banking platform that we have been building out that's pushing up deferred cost as are a couple of other contracts that we are working on. Additionally the chase work that we are working on a mortgage processing side to chase some mortgage platform that will go live in the beginning of '09 is also driving deferred costs as is the Wachovia He Lock [ph].
Unidentified Company Representative: We are doing the development on that.
Jim Kissane - Bear Stearns: Great. And just one last question, just generally the performance of eFunds relative to your plan?
Unidentified Company Representative: eFunds has done very well. Good strong revenue growth little bit above where we thought it would be. Synergies are good the expenses are coming out on target non plan and I think there is going to be some upside as we go forward on that the quality of the management team that we picked up through the transaction is very good and very solid so overall Jim I would say we are pleased with it.
Jim Kissane - Bear Stearns: Okay, great. See you next month.
Unidentified Company Representative: Thanks.
Operator: Thank you and next we'll go to the line to Tim Voges [ph] with Robert W. Baird.
Unidentified Analyst: Hi guys just a question on IFS and the trends there typically these are much smaller banks and more revenue are you seeing any change there in terms of expense?
Unidentified Company Representative: No really if you look at our performance during quarter 4.9% down somewhat from what from what we have turning in the past but Lee mentioned that we saw a little bit of softness in transactional based revenues which would impact card but nothing it was really all that meaningful, the real thing throughout the decreasing growth versus prior quarters is really a couple of non-recurring things really had this act to a good thing we have lower termination fees in Q1 then we typically have in the quarters and prior quarters so that help retain customers but then infect our revenue growth and then we mentioned the special project back in Q1 of 2007 a merchant fraud you might have heard aboud the TJ Maxx fraud which drove a lot which drill the line of card re issue flow a lot of our banks have an issue card we gain revenues out of those reissuances.
Unidentified Analyst: Hey good. And then in terms of the check business, can you comment on what's kind of left in that business still and if you guys still look in a who is the best at?
Unidentified Company Representative: Yeah, we successfully sold the game cash portion of that business which is about a 100 million of the revenue stream and actually that still closed on April 1 so what's left is the North America point of sale business, more pay check cashing business and our international businesses we're in and also our Australian businesses our business we're in the marketing process right now to pieces and we expect to have a pretty good indication so we'll going to deal [ph] the view by the end of the second quarter.
Unidentified Analyst: Alright thanks and then just in terms of youth [indiscernible] in the press release do you have any just talk about may be the EBITDA and operating income lines area?
Unidentified Company Representative: We've done our approach to any acquisition is to immediately wake up the product set will be in the acquired company's in place them under the appropriate business unit within TCS and or LPS as is applicable. That's what we've done here so it's really difficult for us to really call with specific profitability after we've done that conversion because we've migrated there headcounts onto our payroll system put them into the cost centers within those it really disappears [ph] and really disappears.
Unidentified Company Representative: I think it's safely to say that the accretion that we expect when we communicated to the marketplace when we purchase with our guidance is still in place and that still holds.
Unidentified Company Representative: Yeah, I think that we're on target to hit the [indiscernible] if you look at Q1 specifically fro eFunds, we didn't really get much I would say we didn't get much contribution to EPS in Q1 because it's a lower revenue quarter, it's a lower margin quarter because it a transactional seasonal business in Q1 still lowest quarter and from that synergy standpoint Q1 is when we have the small [indiscernible] synergies to that 35 million it will build overtime so both factors kept at fairly neutral from an EPS standpoint in Q1 we should see the benefit as we move forward.
Unidentified Analyst: Great thanks for the color. Thanks guys
Unidentified Company Representative: Welcome.
Operator: Thank you and next we'll go to line Tien-Tsin Huang with J.P. Morgan. Please go ahead
Tien-Tsin Huang - J.P. Morgan: Hi, guys thanks. Just had a follow-up questions on the payments weakness that you guys described is that it's relate to card volume or your seeing card attrition or may be some less marketing from the clients as well because I though the bulk of the revenues were account based?
Unidentified Company Representative: The bulk of the revenues are transaction base about 65% of our billing is derived from on a transaction key basis so that's where the slowdown is taking place and again it's a slight slow down it is a significant but would enough to take notice but it's isolate to our card processing business primarily.
Tien-Tsin Huang - J.P. Morgan: Right. And the card processing is primarily Community bank and Credit union side.
Unidentified Company Representative: Community bank and credit union we haven't seen any major drop off or increase in attrition or drop off on new account issuance. There still very conservative issuers and it's a pretty predictable on the revenue side.
Tien-Tsin Huang - J.P. Morgan: Okay good to know and then on the to some of software side, question [indiscernible] both into quarter and throughout the year in note Q1 was how you're unusual in terms of it's percent [ph] ?
Unidentified Company Representative: No, it's actually isn't, we're pretty consistently spread throughout the year so the answer is no.
Tien-Tsin Huang - J.P. Morgan: Okay good. And then I just had a higher level question given all that's going on its obviously the spins coming up without the appraisal regulation then we got the eFunds integration and given all that's going on how comfortable you are with the EPS guidance that you have laid or that you are?
Unidentified Company Representative: We are very comfortable with that. In fact we have taken some pretty strong actions and pretty strong steps based on preliminary information that we had trends that we noticed at the latter part of the first quarter to make sure that we were detected on EPS for the year. So we believe that we have EPS we are going to achieve that and we are very comfortable with the guidance range that we have originally issued.
Unidentified Company Representative: I think the other thing to say when we talk about driving these cost reduction initiatives we didn't start the cost reduction initiatives because we saw weakness in revenue. It was just a natural evolution I mean we talked last quarter about the restructure of TPS to put to basically consolidate the large bank and the large and small bank sectors and international and the one business unit create singular sales force so that we could get product sales through all of our banks no matter what the size. Well as part of that process we look for places to gain efficiencies as anytime we restructure. Additionally with the LPS spend we had to go through and figure out Okay how do we break the technology organization apart. So that [indiscernible] but through that process we naturally look for ways to gain efficiencies there as well. So, a lot of things that we are doing and things that we are worrying on whether they are just natural outcomes of reorganization efforts that we had.
Unidentified Company Representative: Yeah the process of separating the two companies has been a very, very thorough process and as we have gone with what has Jeff said its exposed some areas quite frankly though I think we are spending too much and we are able to isolate the resources and put them into a bucket and say lets get them out of here I think if anything the trend that we saw towards the end of the quarter accelerated our actions so we feel pretty comfortable where this is going to come out most of the reduction are already in process. A significant number of volume taken place and I think that preliminary read on this that in most cases we are going to come out much more efficient and with a higher level of service in most of the areas that were affected.
Tien-Tsin Huang - J.P. Morgan: Okay. Very good, thanks. See you next month.
Operator: Thank you and next we we'll go to the line of Nik Fisken with Stephens Incorporated.
Unidentified Analyst: Hey I'm [indiscernible] I have got left is what are you assuming for share count for the year now?
Unidentified Company Representative: Right now we haven't changed our share account assumptions were still about a 197.5 million as our estimate.
Unidentified Analyst: So how quickly should we be looking forward for the 250 that you just quoted [ph].
Unidentified Company Representative: Well, Phil and I talked about that today. We are not going to give you the exact daily purchase but you should consider the majority of that hopefully being completed prior to the actual spends taking place.
Unidentified Company Representative: Let's say as right now, the guidance still assumes first of all repurchases about 100 million in year I know that it is going to accelerate. But if we look at from an EPS standpoint should be neutral for the remainder of this year regardless of how much we repurchase.
Unidentified Analyst: Okay. Thanks.
Operator: Thank you and next we'll go to the line of Kamal Thukan [ph] with Lotus Partners. Please go ahead.
Unidentified Analyst: Hi, can you talk about in your TPS segment how much of the revenue do you think is effectively either contracted or recurring and how much of the revenue is, discretionary in some way or formed on an annualize basis?
Unidentified Company Representative: Well lets talk about EBS first that's really well primary if you have any volatility centered around that group. We set about $50 million worth of new sales how it takes place on an annual basis to show to generate a 4 to 5% growth within that business. So that's what we are talking about on EBS. When you look at the transaction or the businesses or in IFS side is vast majority of that revenue well over 75 to 80% of that revenue is recurring in nature if not more.
Unidentified Analyst: Okay. And the other question that I had is in terms of the business as you see it now the new contracts that you are taking on how is pricing looking for those contracts? Can you talk about A typically house pricing for those contracts meaning do you typically see a certain type of increase and then how the increase is going for contracts that are now rolling over in this environment?
Unidentified Company Representative: There is couple areas that we said in the past that we are seeing some price pressure it's not huge but it exists and it centers around primarily around contract renewals that come up in our core processing business for community banks and credits [ph]. It's a limited market there are a number of players that participate in that market segment the contracts come up every 3 to 5 years the banks are smart when they do come up to invite all the various processors and even if they don't switch they are going to play a price game so we see some price compression that affects that segment of the business. On the card processing side which is the other major segment within the community banks where we see variable low price compression because our prices typically are 25 to 30% better than our nearest competitor to begin with so we just don't see that pushing us down, down at all. On the debit card side do business we do see price compression and that's been something that we have dealt with for the last 4 or 5 years that's really nothing new. As far as on the EBS side of the business we are not really seeing a lot of price compression when it comes to selling larger software deals. That's not where the issue is the banks may be delaying purchases but they are not making there basing there decisions on whether or not they can get a lower price what they are more concerned with is the feature functionality and capability of the software and what type of efficiency that software will generated internally. So overall pricing still remains pretty solid and pretty good except in the areas of that I covered.
Unidentified Company Representative: And then on the LPS side, we are not experiencing any price compression when we are renegotiating contracts. We are in a very strong competitive position because of the market share that we have, having 35-36 out of the top about 50 institution on our platform we have tremendous scale and there is no competitor that we can really step in and provide a competitor price product [ph] at this point of time. So we are not seeing any degradation there and when I say is during the time we really make any concessions from a pricing standpoint or LPS is that we gain additional services.
Unidentified Analyst: Okay. Last thing, I am not super familiar with the business I haven't followed it for a long time. This might be, it serve an obvious question but, in terms of where what's the margin that the banking sector your main clients goes through another year of two of really tough conditions that we are seeing right now. We are kind of may be somewhere in credit cycle and not sort of continuous to go and get worse for a while. How good you feel about your ability to hold up through that meaning. The sort of softness that you are seeing do you feel like we are caught up in the early stages of that, or we have the mid stages of that or the late stages of that?
Unidentified Company Representative: I think we are really in the mid stages of that. I think the banks have been going through a large turmoil for a pretty significant period of time. So I don't think its anything new to the industry. I don't think it's at the late stage yet but I certainly don't think its at the beginning stage. So I think we are relatively in good shape as far as our business in general. The good thing about our business is lot of our business is our transaction processing base. So if an institution wants to operate on a day to day basis or mortgage lender wants to serve it customers or issue loans or service loans. The services that we provide are not really discretionary. If they don't buy them, they can't operate. They can't open the doors. So its only a relatively small portion that centers around discretionary purchase by financial institution and typically they center around software licenses or changes in technology were large outsourcing deals that they might give you on the programming side of the business and those are somewhat limited in size relative to the overall scope in the size of the business.
Unidentified Company Representative: Lee also I think you mentioned that when you give me a prepared remarks that on the lender side of the business we actually think in advantage to us when we're in more difficult times because we see financial institution is actually moved through more towards outsourcing especially in areas like a appraisal and some of these ancillary lender services. So that's been one of the things that we've really used as an advantage to gain revenues to the time period and that's one of the reasons why we're gaining or we have such strong growth rates in light of the difficult economic circumstances.
Unidentified Company Representative: Well, I think that's true also on the banking side of the business. The banks surrender a tremendous amount of pressure to cut cost and prove efficiencies and if they can spine it alternative to processing or providing a service and house that's cheaper and more effective that's one of our header that's happening not only domestically but also internationally. So we're pretty well positioned in this business.
Unidentified Company Representative: The only other thing I'd add it that's a our guidance despite the 8% that's pretty strong growth in light of the economic periodic we're in.
Unidentified Company Representative: We've been living with this in volume and for sometime now and we've get our heads above water and perform either at or above our peers in terms of revenue growth we feel pretty good about it.
Unidentified Analyst: Sounds good. Thank you.
Unidentified Company Representative: Thank you.
Mary K. Waggoner - Senior Vice President, Investor Relations: And operator we have time for one more question.
Operator: And our final question will come from Tom [indiscernible]. Please go ahead
Unidentified Analyst: Good afternoon guys sorry to beat a dead horse. On the card processing side, did you take into effect the April shift at all and that may be April is seeing a significant uptick versus March or is that not in your forecast?
Unidentified Company Representative: No it was up first of all the delta between what we expected and what came in was not significant was a relatively small piece but it indicated that there was a potential trend that we are going to watch going forward so no we have not said that there is going to be a marked changed because the decline in that business the softness of that particular business was not that significant. If you look overall within that whole business segment or kind of size it for you. Look at our IFS community bank and credit union business. We would have expected some more than the able of other half a percent to 1% revenue growth. And if you look at that overall we are talking about $3 million or somewhere in that range it's not that significant.
Unidentified Analyst: Okay.
Unidentified Company Representative: So but it is enough for us to turn around and say lets watch it because those businesses traditionally have been highly predictable and rock solid in terms of being able to predict usage on those transitions. We are not saying its going to continue but we are watching it.
Unidentified Analyst: But when you see and Easter shift you typically forecast that so you might have missed it?
Unidentified Company Representative: No what when we forecast those businesses we forecast year-over-year comparison and use a lot of different factors and we will have missed that now.
Unidentified Analyst: Okay that's what I was I getting at. Thank you very much.
Mary K. Waggoner - Senior Vice President, Investor Relations: Thanks everyone for joining us this afternoon. We look forward to seeing you next month at our May 28 Investor Day here in Jacksonville. Registration detail will be distributed early next week. We look forward to seeing you please remain on the line for our telephone replay instructions
Operator: Ladies and gentlemen this conference will be made available for replay after 7 pm Eastern today and will run trough May 1 at midnight. To access the AT&T replay system you may dial 320-365-3844 and enter the access code 917-569. Again those number are 1320-365-3844 and the access code 917-569. That does conclude your conference for today thank you for your participation and for using AT&T's executive teleconference. You may now disconnect.